Operator: Off again. [Operator Instructions]. Good morning and welcome to the Fourth Quarter End FY2021 Earnings Conference Call for Travel and Leisure Co, formerly Wyndham Destinations. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions]. As a reminder, ladies, and gentlemen this conference call is being recorded. [Operator Instructions] Thank you. And I would now like to turn the call over to Chris Agnew, please go ahead.
Christopher Agnew: Thank you, Ashley. And good morning. Before we begin, we'd like to remind you that our discussions today will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements. And the forward-looking statements made today are effective only as of today. We undertake no obligation to publicly update or revise these statements. The factors that could cause actual results to differ are discussed in our SEC filings and you can find a reconciliation of the non-GAAP financial measures discussed in today's call in the earnings press release available on our website at investor. travelandleisureco.com.  This morning, Michael Brown, our President and Chief Executive Officer, will provide an overview of our fourth quarter and full year results. And Mike Hug, our Chief Financial Officer, will then provide greater detail on the quarter, our balance sheet, and liquidity position. Following these remarks, we look forward to responding to your questions. With that, I'm pleased to turn the call over to Michael.
Michael Brown: Thank you, Chris. Good morning and welcome to our fourth-quarter earnings call. This morning, we are pleased to announce another strong quarter to close out 2021. We reported adjusted EBITDA 0f $228 million and adjusted EPS of $1.19. For the full year, adjusted EBITDA was $778 million and adjusted EPS was $3.65. Adjusted free cash flow finished the year at $223 million, which was ahead of our expectations, and we resumed share repurchases in the fourth quarter. Including dividends, we returned $134 million to shareholders in 2021. At Wyndham Destinations, gross vacation ownership sales were at the high end of expectations, with tours above our guidance range and continued strong VPGs. In the fourth quarter, VPG was 36% higher than the fourth quarter of 2019, and for the year, we finished with a 32% increase from 2019.  The strength in VPG is a testament to our best-in-class sales and marketing teams and reflects our focus on higher quality tours. Our receivable portfolio continues to perform, and in the fourth quarter, we released an additional COVID-19 reserve, yielding a net positive adjusted EBITDA impact of $28 million. I would like to highlight a few key metrics from 2021. 28% of total transactions were to new owners, with 65% of these sales to Gen X and Millennials. Blue Thread, which is our term for lead generation through our relationship with Wyndham Hotels and Resorts, also performed well. Blue Thread sales represented 16% of new owner transactions in the fourth quarter and 14% for the full year, both over 200 basis points higher than the prior year.  Turning to the Travel and Membership segment, fourth-quarter and full-year transactions increased 30% and 61% respectively over the prior year. This segment recovered steadily in 2021 with year-over-year transaction growth each quarter. Exchange transactions make up the largest component with domestic U.S. demand proving very resilient throughout 2021, helping to offset international cross-border travel, which continues to be challenged by pandemic-related travel restrictions. Now, exchange revenue per transactions increased 44% and 38% in the fourth quarter and full year respectively. Transaction growth has been led by Panorama Travel Solutions. We launched Panorama Travel Solutions in the fall of 2020 with a focus on development of the business model in signing partners.  To date, we have closed 18 contracts with a combined total addressable market of 9 million households in North America. Our pipeline of branded and white-label clubs continues to grow. In the fourth quarter, we began moving into the activation phase. As an example, the National Association of [Indiscernible] Travel Club went live at international convention in San Diego in November. And then in under four months, nearly 0.5% of its 1.5-million-member base have been activated. As we approached the busy spring and summer travel periods, we have several marketing programs with NAR designed to activate additional users. More recently, our team was at the Superbowl to promote the newly launch platform for the NFL Alumni Travel Club.  Although insignificant to our financial results, we're seeing tangible progress which reinforces our expectation that this business will be a driver of growth in the coming years. Our overall adjusted EBITDA margin was 26% in the fourth quarter and 25% for the full year. We were able to achieve these margins despite a reduction of net interest income, which is due to the reduction of our consumer finance portfolio. To put in perspective, the strength of our fourth-quarter and full-year margin, if we equalize the 2021 portfolio size to 2019 and exclude the EBITDA benefit from the COVID reserve release, adjusted EBITDA margin would have been 100 basis points higher than the comparative periods in 2019. In 2021, we laid the foundation for the next four years with our stated strategic goals to expand our addressable market, accelerate earnings growth, and increase free cash flow. We acquired the Travel and Leisure brand in January and launched the new subscription-based Travel and Leisure Club.  At our Investor Day in September, we laid out a plan to increase our compound annual adjusted EBITDA growth rate to 11% to 14% through 2025, reflecting continued growth of our cornerstone businesses of Wyndham Destinations and RCI, and growing new business extensions into B2B travel clubs and to direct-to-consumer travel clubs. Related to recent travel trends, in late December, we started seeing some near-term hesitation in booking behavior given rising Omicron COVID case counts. Net arrivals and forward bookings were impacted in January. However, as with previous COVID spikes, each successive wave has had a lesser impact on our business and the re-bounce have come faster and stronger. In January, net bookings at our vacation ownership resorts were 8% below 2019. But in the first three weeks of February, net bookings for 2022 were 5% higher than 2019. Exchange is seeing a similar inflection with North American revenue trends swinging positive in February.  Internationally, the news continues to improve. Australia has reopened its borders to international travel and our exchange business in the UK has seen a rebound in demand. We expect international to be slower to rebound with cross-border travel taking longer to get back to 2019 levels. Although the pandemic has presented tremendous challenges, it ultimately has proven the resiliency of our business, our ownership, and member-based model with its recurring fee streams and strong cash-generation, whether to dislocation and travel over the last two years. These same streams will be our tailwind as travel and the economy recover. With the economic recovery, we recognize rising inflationary pressures, but we do not view it as a meaningful risk.  In fact, one of the core value propositions of timeshare is locking in the value of future vacation costs at today's prices. We can more readily demonstrate the value of ownership when travel costs are rising, which should help close rates. Our business model also allows us to focus on the lifetime value of new owners through future additional purchases, consumer finance and management fees, as well as exchange membership and transaction fees. As a reminder, 80% of our owners have no loan outstanding and are enjoying their vacation accommodation for the ongoing relatively low cost of their maintenance fees. Turning to our outlook, and we expect first quarter adjusted EBITDA of $160 million to $170 million.  We're excited to begin 2022 with optimism about the strength of leisure travel. We're focused on delivering the strategy we laid out in September and believe the path to accelerated growth remains clear. Broadening the strength of our cornerstone brands and creating a depth of products and services to serve the leisure traveler. For more detail on our performance, I would now like to hand the call over to Mike Hug.
Michael Hug: Thanks, Michael. And good morning to everyone. As well as discussing our fourth quarter results, I will provide more color on our balance sheet, liquidity position, and cash flow. My comments will be primarily focused on our adjusted results. We reported a total company fourth quarter adjusted EBITDA of $228 million and adjusted diluted earnings per share of $1.19, compared to $148 million of adjusted EBITDA and $0.32 of adjusted diluted EPS one year ago. Let me share some operational highlights from our two business segments that led to these great results. Vacation ownership reported segment revenue of $695 million, gross realized sales of $430 million, and adjusted EBITDA of $180 million, increases of 37%, 54%, and 58% respectively over the fourth quarter of 2020.  We delivered 129,000 tours and a VPG of $3,222 in the fourth quarter, 52% and 10% increases over the prior year. In the fourth quarter, due to continued strong portfolio performance, we released $44 million for the COVID specific reserve we report in March 2020, resulting in a $28 million net benefit to adjusted EBITDA. At the end of the quarter, our total reserve as a percentage of gross vacation ownership contract receivables was 18.1% compared to 19.3% at the end of 2019. After considering write-offs in reserve for remaining [Indiscernible] defaults associated with loans that were granted payment deferrals, we have no remaining COVID-19 related receivables reserve as of December 31, 2021.  Revenue in our settled membership segment was $125 million in the fourth quarter, compared to $141 million in the prior year. Adjusted EBITDA was $64 million, an increase of 28% compared to last year's $50 million. Non-exchange transactions, largely driven by PTS, continued to grow faster than exchange transactions, and the mix of non-exchange transactions has increased 200 basis points year-over-year to around 40% of total transactions in 2021. Turning to the balance sheet, our corporate net debt at the end of December was $3 billion, and our leverage ratio was 3.99 times. We completed three important transactions in the fourth quarter. We renewed our $1 billion revolving credit facility, extending the 38 to October 2026, and removing restrictions on return of capital to shareholders that were in place during the release period.  We closed $350 million ABS transaction and we repaid $650 million of senior secured notes due in March 2022 with proceeds from ACE new $4.5 senior security notes due in 2029, we remain focused on reducing our leverage ratio and with continued adjusted EBITDA growth, we expect to see this ratio continued to decline throughout 2022. As it relates to return of capital to shareholders, we paid our fourth quarter dividend of $0.35 per share on December 30th, and we will recommend a dividend of $0.40 per share by a -- for approval by our Board of Directors at their March meeting. We also resumed share repurchase in the fourth quarter, buying back $26 million of shares, an average price of $52.94. As of the end of 2021, we had $328 million remain under our authorized share repurchase program. Adjusted free cash flow for the year was $223 million with free cash flow conversion from adjusted EBITDA at 29%.  We expect feedback around our historic free cash flow conversion range of 55% to 60% in 2022.And over time, we expect to see this frankly even higher to 58% to 63% of adjusted EBITDA as we laid out at our Investor Day last fall. Let me provide some more detail about our expectations for the first quarter. We expect gross realized sales to be in the range of $345 million to $355 million dollars, a 46% to 50% increase over the prior year. At Travel and Membership, we are forecasting revenue to increase in the high-single digits over the prior year. And in the first quarter, we expect the provision for loan loss to be around 17%. This will likely mark the low for the provision in 2022 as we look to increase new owner sales and the percent of sales financed.  Both these initiatives are designed to accelerate the growth of our portfolio, but they do impact the provision. For the full year, we expect our effective tax rate to be 27% and a net interest expense on corporate debt to be around $185 million to $195 million. In closing, 2021 was a great year for Travel and Leisure. Our focus on cost controls and quality, growth, strong margins, and EBITDA, started to transition back to historical levels of EBITDA to free cash flow conversion and in the end of the year with increased returns of capital to shareholders. We are excited about foundation we have laid for future growth and the opportunities we have ahead of us. We look forward to catching up with many of you, hopefully in person over the next couple of months. With that Ashley, can you please open the call to take questions.
Operator: Currently, [Operator Instructions] We do ask that you please limit yourself to one question and one follow-up. And we will take our first question from Joe Greff with JPMorgan, please go ahead.
Joseph Greff: Good morning, guys. A question for you that delves with your comment, Mike, on new owner sales and the loan loss provision going up because of that, are you guys rethinking the universe of credit quality, target customers, and maybe going back and lowering to go back to that lower FICO ban that you -- any of the -- given that pivot from a couple of years ago?
Michael Hug: Joe, thanks for the question. We want to drive new owner sales. However, we couldn't be happier with the VPG s we're running. That's a result of, as you mentioned, moving that back to -- up to 640. We'll look at that number. Do we ever drop back down to 600 soon? I wouldn't expect that we will, but we'll look at different factors, not just FICO, but other factors that we can look at, payment history for owners and things like that, to try to drive sales and incremental upgrades to get that portfolio growing again. As I mentioned, it does come with a provision increase, but the net instinct, obviously, a great margin and a great recurring revenue stream. So, we're always looking at credit quality. We'll probably hang around that 640 number from an average five-tailed. And as I mentioned, our debt would be down to 600 soon.
Joseph Greff: And then just with the capital return in buybacks, can you talk about how you're thinking about buybacks here in 2022, obviously with the net leverage of four times and obviously the EBITDA increase in the 1Q you'd be leveraging or reducing that leverage ratio. So, paying down debt or hoarding cash doesn't really give you any great efficiencies. So, can you just talk about your buyback activity, maybe quarter-to-date and plans for 2022?
Michael Hug: [Indiscernible] first, we're very excited to be able to remove the restrictions we've had during the relief period and that's evident in the share repurchase we did in the fourth quarter. And into your point, when you look at our intent as it relates to lowering our leverage rate, we've said very clearly, as we exited the covered relief period that we're going to do that through growing EBITDA, not using cash to pay down debt. So, when it comes to capital allocation, we've demonstrated right there we'll continue to grow the dividend and we'll go back to that pre - COVID capital allocation methodology of looking into M&A and [Indiscernible] in M&A. Excess cash will be used for share repurchases.
Joseph Greff: And buyback quarter-to-date?
Michael Hug: Currently, we're not going to give guidance as it relates to our cadence of 2022 share report repurchases. I think what I would point out though is, after the spin-off of the hotel grew back in June of 2018, we had a steady in -- increasing level of share repurchases, absent in the M&A activities. So, we're very excited about the optionality we have as far as capital allocation, and we'll put excess cash to work to drive shareholder value.
Joseph Greff: Thank you.
Michael Hug: Sure. Thank you.
Operator: And we'll take our next question from Ben Chaiken with Credit Suisse, please go ahead.
Ben Chaiken: Hey, how's it going? This quarter was maybe tough given -- due to COVID, and -- but if you were to exclude Omicron as consumers come back, are you seeing a relative value tailwind between timeshare and hotels? I guess what I'm referring to is rising leisure hotel ADRs making the price value and, importantly, the breakeven for timeshare theoretically much more compelling. I don't know if that's showing up in the business or if that's more just like a theoretical dynamic. Thanks.
Michael Brown: Well, it is certainly theoretical, but it is showing up in their business as well. And one of the great components of our business, especially at this point in the cycle, is you can demonstrate very clearly the relative value of ownership -- of vacation ownership compared to a hotel stay or a house rental. And where we see it show up and there is a dynamic that we must consider which is, do you try to drive that incremental 1% price, or do you want to try to drive closing percentages at the table?  We've seen a steady increase through both tour quality and I think where we are in the cycle on our close rates, and our close rates are up 200 to 300 basis points from where they work pre - COVID. And we think that's a result of not only the change into our quality, but the value people are seeing in ownership and paying for future vacation stays, future vacation dollars at today's prices, and I -- we've pointed out in the prepared remarks that 80% of our owners are fully paid off with their loans. So, if you're traveling in this inflationary environment to a destination, and all you've paid for is your annual maintenance fee, it's even more clear the value you're getting out a year ownership.
Ben Chaiken: That's helpful. And just one quick clarification. So, are you saying -- are you taking -- are you -- you're showing us the suitable variables, the close rate, indoor price, but are you also taking price? Are you doing both? Are you taking price and close rate going higher, or which are your kind of -- how is that on a situation-by-situation basis?
Michael Brown: No, we're leaning more towards close rate because the lifetime value of a new owner is not only future purchases, but the portfolio which we're trying to grow back in management fee. So, we're not taking out sized price increase, it's just normal price increases, and looking for the benefit coming out of close rate. I'd also like to add -- because that indirectly leads to a margin question is our balance sheet. We have the inventory already there is paid for, so we don't have rising construction costs pressures there that could affect the margin. So, we feel like we're in a good margin situation and the product that we offer is clearly demonstrable value that we can offer to the consumer.
Ben Chaiken: Thanks. And then just one more. Is there any way and hopefully I didn't -- if I missed this, I apologize, is there any way that given the slowdown from Omicron in December and January, give us a view of where you are in Maybe the end of January or February or any data point to show to colleagues bridge us between pre -owned Macron and where we are?
Michael Brown: Absolutely. So first, just to reiterate our Q1 guidance of -- considers the effects of Omicron. But just let me give you -- 1. We normally don't, but in February, North American revenue is above 2019 levels, where in January it was below 10%. In arrivals in January to our resorts, we were roughly 6% below, and we're trending flat if not above for February. And then, when you look at forward bookings, as we said in our prepared remarks, that our forward bookings are above 2019 levels. So, it's been a very quick return to pretty much normal operations in February.
Ben Chaiken: Thank you very much.
Michael Brown: [Indiscernible] And then one more thing because we talked a lot about how consumer behavior was changing during COVID that over 90% of a live all-store resorts were drive to. Whereas they historically have been in the low 70. That number is back to 73% drive to, which shows the consumer is returning to their normal travel behavior from the leisure standpoint.
Ben Chaiken: That's helpful. Thank you.
Michael Brown: Thanks, Ben.
Operator: Again, as a reminder, that is [Operator Instruction] for your questions, we'll take our next question from Chris Woronka with Deutsche Bank. Please go ahead.
Chris Woronka: Hey, good morning, guys.
Michael Brown: Hi, Chris.
Chris Woronka: Michael, morning. Prior to COVID, I know you guys have always talked about the -- this target of getting 50% new owners on the VOI side, and only if you're ever quite really got there, you're moving in the right direction. Now that you've had a -- two years to kind of tinker with the business and the strategy, I mean, does that 50% still makes sense, and do you think you can get there, or could there be more benefits to -- can you get the same level of free cash flow or EBITDA, whatever you might like to look at, if you're in the 40% range?
Michael Brown: Yes, it's a very important dynamic as you've always talked about. The lifetime value of new owners is critical to our long-term growth rates. So, we had presented pre - COVID, a 45% target. I would say that that was an aggressive target because coming out of the great financial crisis, we were -- we had some catch-up to do and I think we did a great job. We got it up right at 40% pre -COVID, which laid a great foundation for us going into COVID. We're back at 30% -- 28%, some quarters, 30% during pre - COVID. We are -- we expect to trend right back -- over time back toward the 40% range. I think it's very important to note. My perspective on this is that if you can sustain transactions somewhere around the upper 30s and the low 40s of total transactions, you're in a very good place that's sustainable.  We will get back into that range. And I think just as a point of reference, the three public companies that are out there. One's got a higher percentage, one's got a lower percentage, and I would say all three of us are in a very sustainable, good range of how to grow the business for the long term, so I feel good about where we are. We will increase the number into the thirties and then into the upper thirties but, I don't think any of that is a concern for us soon if we stay on that trajectory to grow up back to the upper thirties.
Michael Hug: Into Michael's points, like we must risk getting there. If you remember, at our Investor Day, we pointed out that our current owner base has $20 billion in revenues available to us over the next few years. So going back to their question about FICO, we'll maintain our quality, be smart about growing that GOI number, keep those margins high, and get to the right number over time. But we don't have to do that right away.
Chris Woronka: Okay. Very helpful. And then, just as a follow-up, as we think about the subscription business, obviously, the goal is to grow it, but there's probably a lot of stuff we don't see. What are you guys internally looking at in terms of measuring the efficiency of growing that business? Because I don't -- we don't get to see things like customer acquisition costs or things like that. I mean, what are the key metrics that you all look at to really grow that business on a bottom line, not just a top line standpoint?
Michael Brown: Absolutely. So, one of the elements that we laid out is we want to grow our addressable market. The subscription business allows us both on a B2B and a B2C basis to grow our ecosystem of who we're developing capital -- capital light transactions from, recurring revenues, capital light. And on the B2B side, the Panorama Travel Solutions, we really laid out a few keyway stations to know that we're being successful. The first was, can we provide a value proposition to white-label clubs? In the first year, we've seen 18 sign-ups in our development pipeline. It's very full on -- and I would even argue it's accelerating nicely. The next step is an activation phase, which is turning an addressable market into true memberships, and it's why we wanted to highlight the National Association of Realtors. We laid out, at Investor Day, that we expected activation to be 3% to 4%, and in 4 months, we're already at 0.5%.  We haven't even really hit a peak summer season, and so we're seeing very good proof points on the activation phase. And then, the last is going to be transaction size. And we know that if we get the transaction size, we expect in the $300 to $400 range, the margins will come with it. So, it's picked a funnel of -- acquire brands, then activate the brands, and then -- or activate the members within that brand, and then monitor transaction size. And given that the Travel and Leisure Club, our D2C, our direct-to-consumer, is about six months to nine months behind the launch of Panorama Travel Solutions, we'll be looking at very similar metrics as we start to see activation into the B2C side of our business in the Travel and Leisure Club.
Chris Woronka: Okay. Super helpful, appreciate all the color. Thanks, guys.
Michael Hug: Thank you, Chris.
Michael Brown: Thanks, Chris.
Operator: We'll take our next question from Patrick Scholes with Truist Securities. Please, go ahead. Your line is open.
Patrick Scholes: Good morning, everyone.
Michael Brown: Morning, Patrick.
Patrick Scholes: Morning. From a high level, how do you envision the trajectory of VPG going this year and next, given that you're trying to get more new buyers in there and on the other side of that, you have an inflationary force just naturally rising prices, how do you think about, or how should we think about that? Thank you.
Michael Brown: It's a great story we get to share about sort of our pre - COVID and post - COVID level. We've seen, just in general, rises in our VPGs from 2,300, 2,400 up over 3,000, and we would attribute about half of that, maybe slightly more to the mix of owners versus new owners. And we would attribute the remainder to 45% to 50% to share production quality and the performance of our team's along with the change of the quality of our marketing efforts. So, the only adjustment that I would make to where we're going now is as we increase, as Chris was asking, to 32% new owners to 34%, there'll be a very modest headwind to the VPGs. But I will say that as the Leisure Travel environment continues to be strong, and we see the early indications about how our teams are performing.  They continue to surprise, and they shouldn't because they've always -- always perform, and they always do a great job in the field. But our VPGs are holding up very well, and I would add, anecdotally, that includes Q1. During Omicron, the performance on VPG continues to be at that expectation, not above it, so maybe a slight pullback as the year progresses and the mix changes, but not significant.
Patrick Scholes: Okay. Thank you for the color.
Michael Brown: Thanks, Patrick.
Operator: We will take our final question from David Katz with Jefferies, please go ahead. Your line is open.
David Katz: Hi. Good morning, everyone. Thanks for taking my question. I wanted to just check in with respect to the securitization market. Obviously, it's been so good, right, and the recent transactions have been super, super strong. But that was back in October. What are you seeing today in terms of what it would be if you went to market today? And what are you contemplating as we move through the rest of the year so far?
Michael Hug: Thanks, David for the question. We expect as we move through the rest of the year, just trying to get on our normal cadence of three transactions a year. Obviously, as you know, we're in a rising interest rate environment, so we would expect rates to go up. The under 2% that we were able to get throughout 2021 probably won't be available to us this year, but keep in mind that it's still a very attractive rate. So, we are expecting an increase. We do expect to be in the market three times a year. We're looking for those advanced rates to stay in the high 90s. So overall, very optimistic about the market. Keep in mind, all our term transactions that we've already issued, our fixed rates, so any exposure we have is really -- on any new issuance that we have this year and going forward, so it should be a significant impact to 2022 earnings when you think about the cadence of those and when they occur in the year.
David Katz: Okay. Thank you very much.
Michael Hug: Sure.
Operator: Thank you. And that concludes our question-and-answer period. I would now like to turn the call back over to Michael Brown for closing remarks.
Michael Brown: Thank you, Ashley. As we head into 2022, we are focused on a very clear and simple ABC Strategy. We want to accelerate our growth of our global business. We want to broaden strength of our cornerstone brands, and we want to create depth of our products and services. I'd like to recognize our global team of associates for contributing to our success and for serving our owners, members, and guests. Thank you to the shareholders and stakeholders of our company who have put their trust in our ability to put the world on vacation. We're building on a great foundation, and I hope you're as excited as I am about the future of Travel and Leisure. Thanks, everyone, and have a great day.
Operator: Thank you. And that concludes Travel and Leisure's fourth quarter and full-year 2021 earnings conference call. You may now disconnect your line at this time and have a wonderful day.